Operator: Thank you all for standing by. Ladies and gentlemen, welcome to today's Year End 2020 Results.  I will now like to hand the call over to our speaker, CEO, Mr. Mike Nicholson.
Mike Nicholson: Thank you very much moderator, and a very good morning to everybody. And welcome to IPC's Year End Results and Operations Update Presentation. My name is Mike Nicholson, I'm the CEO. I'm also joined this morning by Christophe Nerguararian, the CFO; and Rebecca Gordon, who's is our VP of Investor Relations and Corporate Planning. I'll begin in the usual fashion, by giving a walk through in the highlights of the fourth quarter and full year performance. I'll then pass across to Christophe, who'll walk through the financial numbers for the Q4, and for the full-year. And then at the end of both of our presentations, we'll of course have the opportunity to have a Q&A session and you can send your question in via the web link or those participants joining in the conference call and can also take questions.
Christophe Nerguararian: Thank you, Mike. Good morning to everyone, happy to walk you through the financial highlights for this quarter. So, very happy to report that this fourth quarter has been the strongest in 2020, from a financial perspective and we've seen good cash flows being generated in this fourth quarter. And it's seems to be on the upward trend with 2021 starting on a very strong footing as well. So, in Q4, as I said, the highest - it was the highest quarter in terms of cash flows. We produced just shy of 45,000 barrels of oil equivalent per day and the full year was in excess of 42,000 barrels of oil equivalent per day, as we guided before ahead of 41,000 barrels of oil equivalent per day for the full year. The OpEx per barrel were firmly maintained under control and at just below the low end of our guidance. We guided initially that we would have $12 per boe to $13 per boe of operating cost and we have reached both for that fourth quarter and on an annual basis, we have reached USD 11.9 per boe which is a very good performance for the full year. EBITDA and operating cash flows in the fourth quarter were respectively at USD 46 million and USD 43 million and, and USD 109 million and USD 119 million respectively for the full year. The net result was negative as we took a post-tax impairment in France of a USD 54 million that was the result of a much lower price deck used by our reserves auditors and lower by more than USD 17 per barrel in the long term. So mostly driven by, a low-price deck to assess the value for assets in France and to a lesser extent by the additional $5 per barrel of additional transportation cost, just mentioned by Mike. It's - when you look at the realized oil prices throughout 2020, it's pretty easy to understand why the fourth quarter has been not our strongest quarter in 2020 and you can see that it was mainly driven by very good realized prices in Canada. Strangely enough the WTI was lower than the first quarter for instance, but the WCS was much higher. So we benefited from a very tight WTI-WCS differential in Canada of less than USD10 when in the first quarter, for instance, it was in excess of $20, so recovering Brent and WTI in the fourth quarter, but more importantly, a very tight diff in Canada. Now in terms of how we've been selling and realizing oil prices against benchmark, you can see that our premium in Malaysia is recovering progressively. We were at plus three bucks on top for the Brent. In France, been improving as well as a result of the fact that we're selling on the pricing of the following month, so in October, November, December, we've been sitting on the average prices of November, December and January which were on the upward trend as well, which explains why we've been able to sell on average at a higher price than the Brent in France, when usually our contract is Brent minus one. In Canada, as I said, very good - the highest WCS for the whole quarter. Although today as we speak, it's already in excess of USD 45, still for 2020, that was the highest realized price. And you can see that interestingly, at Onion Lake, our realized prices have improved compared to the - if you compare the first half 2020 to the second half 2020, we've gone from WCS minus seven to WCS minus three to four. And that's a result of the fact that we're blending roughly, we're using condensates to blend into our Onion Lake production to sell 50% of our production at the WCS specs which is a lighter crude than the one we're actually producing. So that helps us sell a portion of Onion Lake production at the WCS. It's roughly 50-50 between the blend - proportion that is blended and unblended. If you look at the realized gas prices, very good gas prices as well in this fourth quarter, which is usually the case, there is some seasonality in Canadian gas prices and with colder temperatures, gas prices tend to move higher up. Now, the other important point is that, on average, since the end of 2019 because of the logistical issues that Alberta was facing have been resolved, you can see that there's virtually no more difference in between Echo and Empress, which is where we're selling all gas. So we're selling virtually at Echo gas price from late 2019. Interesting to note that as well, in a similar fashion, as currently oil prices are much higher than even Q4 gas prices as well, projected to be higher on average in 2021. We'll mention - we'll touch on that this afternoon when we go through our Budget and Capital Markets Day. Moving on to operating cash flow and EBITDA, it's obvious that 2020 was a challenging year when you look at this graph and compare 2020 to the financial performance in 2019. But actually, I find it highly interesting because it shows the huge potential that our portfolio of assets have to generate significantly higher cash flows than what we've been doing in 2020. So we still managed to generate positive free cash flow in 2020, as Mike mentioned before, but you can see that there is considerable upside in higher oil price environments in - with our portfolio of assets. And moving on to the operating cash flow and EBITDA for the fourth quarter, whereas for the full year, the 2020 cash flows were roughly 35% to 38% of what we generated in 2019, it's closer to 55% to 60% for the fourth quarter. So you see that we're performing much better in Q4 and we're on an upward trend, as I mentioned, and expecting to generate even more in the first quarter. On the operating cash flow - operating costs. So in France, as I mentioned, we've been - we've spent tremendous efforts and resources into controlling and maintaining low OpEx in 2020. That was not given, provided that some portion of our operating costs are fixed or we thought they were fixed but we actually managed to reduce even our fixed costs. In this challenging year, they bring a very low OpEx per barrel of oil equivalent below our guidance at USD 11.9 per boe in average for the full year, In terms of netback, very happy to report as well that operating cash flow and EBITDA per barrel of oil equivalent have considerably improved. And fourth quarter is USD 11.2 per boe of operating cash flow per barrel compared to $8 on an average and $10, just above $10 per boe for EBITDA on average for the full year. Now, if you compare that to 2019, we had a level of USD 18 per boe. So, there is there's still considerable upside to those numbers, as I mentioned before. And certainly in the current oil price environment, we should be able to further increase significantly our netbacks both in terms of operating cash flow or EBITDA per boe. Looking at the cash flows and net debt throughout 2020, so, even though it was a very challenging year, arguably one of the most challenging year ever, for the oil industry and for the world economy in general, we generated enough operating cash flow in 2020 to fund all of our OpEx decommissioning, G&A cost, financial items. The net debt only increased marginally because of the depreciation of the dollar, so we had some FX moves driven by a weakening of the dollar against our main local currencies, euro, Canadian dollar or Malaysian ringgit, and a change, a negative change in working capital. With the exception of that FX change and change in working capital, our net debt would have been flat. So we were having, we had $321 million of net debt at the end of 2020. That with our EBITDA, just shy of $110, we're actually at leverage net-debt-to-EBITDA level just below, we're actually at three times. Now if you would look at an annualized fourth quarter EBITDA, the leverage would be below two times already. So in terms of free cash flow generation and deleveraging, we're very well positioned to improve and fortify further our balance sheets going into 2021. Looking at the G&A and financial items, obviously, as you'd expect, G&A were flat to reducing in 2020, and were kept fairly low at USD 0.8 per boe in 2020. In terms of net financial items, you can see that interest expenses, if you would compare those in the fourth quarter, they've increased slightly compared to the third quarter and that is a result of marginally increasing financial costs and margins, resulting from the refinancing and the extension of the maturity we negotiated with our banking partners in the middle of the summer. So that's the only point to note. There's a non-cash FX gain which results, as I just mentioned, from the weakening of the dollar against Canadian dollar, it's a non-cash element and doesn't really have any impact on our cash flows. Looking at the financial results, we had a solid cash margin of USD 120 million. And really all net results for the year was negative, mainly driven by the impairment, the French impairment we talked about, which again was assessed in the context of a much-reduced price deck used by our reserves auditors. And it's interesting to note that currently the oil price is $12 in excess of what the price deck is for 2021. And it's actually higher. Today's price deck is higher than the long-term oil price used to assess the value for French assets. So that impairment is driven by low oil prices and that was a conservative move. And we're fine with that, but just wanted to give some element of context why it was so significant. Looking at the balance sheet, size of balance sheets is essentially the same. I think it's worth noting the reduction in both current assets and current liability is driven by the reduction in receivables because at the end of 2020, oil prices were lower than oil prices at the end of 2019. So receivables are lower. Similarly, for different reason, liabilities were lower because we had virtually no drilling activity in our business at the end of 2020, when we had quite a bit going on in Malaysia at the end of 2019, as a consequence, payables were as well much lower at the end of this year, at the end of 2020. Just a point to note, the financial liabilities or debts increased by roughly USD 55 million and that was mostly driven, if you compare the end of 2019 to the end of 2020 that was mostly driven by on our Ferguson or Granite acquisition, which was fully debt financed. There was no dilution to shareholders for that acquisition. And just to summarize, on the financial hedging we have in place, to simplify those charts, it's easier to say that we have hedged 2500 barrels a day of Canadian production in, for the first six months of 2021 at the WCS price of approximately USD 28 to USD 29 per barrel. And that was essentially driven by bank covenants from a very small facility for Granite and the additional hedges we may have to put in place in the future are a fraction of that. On the oil side - on the on the Gas side, very happy to report that we've been able to lock-in some of the very strong gas prices we've seen on the market lately. And so looking into 2021, the combination of financial hedges and forward sales, we've been able to lock-in around 3 CAD/mcf for 50% of our production and for the first nine months of 2021. So for the first nine months, 50% of our gas production will average a realized price of 3 CAD/mcf. So that would be the highest realized price that we've witnessed since we took over the social assets from Cenovus in early 2018. So that was my part on the financial highlights for this fourth quarter. Very happy to hand the mic back to Mike to conclude.
Mike Nicholson: Okay, thank you. Thank you very much, Christophe. So just to recap on the highlights for 2020, I think we've finished the year in a very, very strong position, and it sets the company up extremely well as we move into 2021. As I mentioned, our average fourth quarter production was just below 45,000 barrels of oil equivalent per day and good recovery from all the assets that we had curtailed during the first half. And a full year average production in excess of 42,000 barrels of oil equivalent per day and we expect to keep that production stable as we move into 2021. Excellent operating cost numbers as a result of the reset, $12 per barrel, which was at the bottom end of the guidance that we gave in the middle of the year and in line with our third quarter guidance. And continued delivery on the capital reduction program, 50% reduction from our original guidance which really aimed at ensuring we could maximize our free cash flow generation and that's exactly what we did. Of $120 million of operating cash flow, we fully funded the capital expenditure program and other expenditure commitments and still were able to generate a free cash flow of USD 9 million when oil prices averaged only $42 per barrel Brent. And I think the most impressive thing with the fourth quarter numbers is the recovery and production and prices started to come through, our fourth quarter operating cash flow was just under $50 million, and our free cash flow generation was just under $30 million. And when you consider that Christophe has touched upon gas prices are strong in Canada, Brent prices are significantly stronger than where they were in Q4, and Canadian differentials are as tight as we've seen in many, many years, that momentum in terms of free cash flow generation is going to continue into 2021. And you'll hear a lot more about that, in our presentation this afternoon. That's going to allow us to really continue with our immediate focus of deleveraging and getting that net debt level down from $320 million, notwithstanding the fact that we still have significant liquidity headroom, under those facilities. And as we mentioned, the year-end reserves position, over 270 million barrels, 18 years of reserve life and low decline, which sets us up for material free cash flow generation over the next five years, and a material contingent resource base in excess of 1.1 billion barrels of oil equivalent. And as I mentioned earlier in the presentation, very strong performance through 2020 on ESG front with no material incidents to report and well on track with our five-year emissions reduction strategy. So that concludes the Q4 and full year results presentation, we can take the opportunity now for anyone to ask questions.
Operator: Thank you, ladies and gentlemen, we will now begin the question-and-answer session.  You have first question. It's from the line of Teodor Nilsen from SpareBank Markets. Your line is now open.
Teodor Nilsen: Thank you, and good morning to Mike. And then Christophe, thank you for the presentation. I'll try to keep my questions to the fourth quarter figures only and ask at . So two quick questions, first one on Q4 cash flow. Is it right that were some substantial working capital build up during fourth quarter and do you expect that to reverse into Q1? Second question directly on the impairment, I understand that's mainly driven by lower price deck and increased transportation costs. But I just don't know, have you also changed the discount rate? I just noticed that some other E&P companies they actually increased discount rates for fourth quarter impairment testing? And then second question on the impairment, what's the book value or the assets in France right now? Thank you.
Christophe Nerguararian: Yeah, thank you very much. So on the working cap, indeed, it's actually growing and which is good. We would like it to stay this way that the change in working cap continues to increase. It essentially means that oil prices continue to increase and receivables continue to increase. So everything being equal, since the current prices are significantly higher now than they are in - at the end of 2020, they would stay the same that would continue to increase. In terms of the impairment in France, no, we've not changed. We increased our WAC and the discount rates from 8% to 8.5% earlier in the year in 2020 when we when we revised our WAC essentially on the back of the initial impact and oil prices drop and increased risk overall. In terms of the, sort of that was the question on the on the discount rate.
Mike Nicholson: Book value.
Christophe Nerguararian: And in terms of book value, the French assets are now around $100 million to $110 million, if you should combine the Paris Basin and Aquitaine.
Teodor Nilsen: Okay, thank you. So I will take rest of my question for you at the Capital Markets Day track. Yes, maybe I have something more on the . Thank you.
Christophe Nerguararian:
.:
Operator:  We do not have any questions coming in as of this moment. Please continue.
Rebecca Gordon: Okay, we've got one question from the web, which is, your financial priority in debt paying, but second priority by that for M&A? And if you want to defer for this afternoon, Mike? Or answer that one?
Mike Nicholson: Yeah, I think we'll defer it to this afternoon. But right now, certainly for 2021, the absolute focus is free cash flow generation and then debt reduction.
Rebecca Gordon: Okay, thanks very much. That's the only question from the web there. So we'll speak to everyone this afternoon for our Capital Markets Day at 2 p.m. So just a reminder, you can go to our website to dial-in and there's also dial-in numbers available in our press release or on our website. Thanks, everyone.
Mike Nicholson: Thank you, thank you.
Christophe Nerguararian: Thank you, very much.
Operator: That concludes our call for today. You may all disconnect. Thank you all for participating, have a good one.